Alison Sternberg : Thank you for joining us to discuss fuboTVs Third Quarter 2021. With me today is David Gandler, Co-Founder and CEO of Fubo, and Simone Nardi, CFO of Fubo. Full details of our results and additional management commentary are available in our earnings release and letter to shareholders, which can be found on the Investor Relations section of our website at ir.fubo. tv. Before we begin, let me quickly review the format of today's presentation. David is going to start with some brief remarks on the quarter and Fubo strategy and Simone will cover the financials and guidance. Then I'm going to turn the call over to the analyst to dig into Q&A. Before we begin, I'd like to remind everyone that the following discussion may contain forward-looking statements within the meaning of the federal securities law, including statements regarding our financial condition, anticipated financial performance, market opportunity, business strategy and plans, including our acquisition strategy and ability to integrate any such acquisitions, the expected continued rollout of Fubo Sportsbook, and the continued shift in consumer behavior. These forward-looking statements are subject to certain risks, uncertainties, and assumptions.  Important factors that could cause actual results to differ materially from forward-looking statements, can be found in the Risk Factors section of our Quarterly Report on the Form 10-Q for the quarterly period ended September 30th, 2021, to be filed with the Securities and Exchange Commission, and our other periodic filings with the SEC. These statements reflect our current expectations based on our beliefs, assumptions, and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. During the call, we also refer to non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are also available in our Q3 2021 Earnings Shareholder letter, which is available on our website at ir.fubo. tv. With that, I will turn the call over to David.
David Gandler : Thank you, Alison. And thank you all for joining us today. Before we dive into our record third quarter results, we are thrilled to announce that since closing the quarter, fuboTV has passed the 1 million subscriber mark. Yes, that's 1 million paying subscribers. This is an extraordinary milestone by any measure, but particularly remarkable given the momentum of our business over just 6 short years. The implications of the milestone are tremendous and undoubtedly far-reaching. 1 million subscribers means, increased relevance, leverage, and influence with content partners and leagues, plus the opportunity to go upstream on sports tent poles. It also means billions of data points for product iteration and personalization, more monetization opportunities, and increased consumer mindshare. And even at 1 million subscribers, we are still only scratching the surface as 72 million plus households still subscribe to traditional pay television. Our record third quarter 2021 results showcase consistent strong execution of our Company's mission. It's a mission to define a new category of interactive sports and entertainment television, turning passive viewers into active participants. We continue to make great traction towards our long-term growth and margin targets, and we are once again raising our full-year guidance. In Q3, we delivered triple-digit year-over-year growth in total paid subscribers up 108%, total revenue up 156% and advertising revenue up a 147% and that's compared to the prior year period. We added approximately 263,000 net subscribers, that's 56% more than in the third quarter of last year and more than the entirety of 2020. Also noteworthy, we were able to drive subscriber growth while spending less as a percentage of revenue than in the prior year.  Turning to engagement, our users streamed 284 million hours. That's an increase of 113% year-over-year. Our monthly active users watched 121 hours per month on average. While this is strong engagement, it was impacted by the huge influx of new subscribers at the end of the quarter. As these new cohorts mature, we expect to expand their engagement and monetization. The third quarter was also record-breaking for our advertising business, representing our strongest ad sales quarter-to-date. Ad revenue grew 147% year-over-year and accounts for 12% of total revenue in the quarter. Alongside our record revenue growth, we also made meaningful progress towards our profitability goals. Adjusted contribution margin was 12.4% in Q3, that's up a 189 basis points compared to the normalized third quarter 2020 results. This was driven by ARPU expansion with both advertising and subscription, partly as a result of strong execution associated with upsells and packaging. Our attach rate was 2.3%, that's up from 1.8% in the third quarter of 2020. And we sold 2.2 million attachments as of the end of the quarter. It's also illustrative of our ability to expand ARPU and extend the lifetime value of our customers through the provision of additional products and services. This positions us really well to drive adoption of our wagering product. Today, we announced a major milestone towards global expansion with the acquisition of Molotov, France's leading live TV streaming platform with 4 million monthly active users. Molotov operates a freemium business model, which leverages a free tier to drive growth, then upsells customers to premium channel packages. The technology capabilities between the companies will enable us to efficiently launch our interactive sports and entertainment streaming platform on a global scale. Our transaction is expected to close sometime within the first quarter of 2022, and that's of course subject to certain closing conditions. Our internally built technology stack is the cornerstone to our platform, and that has kept us innovating ahead of the streaming industry. We are prioritizing our product and engineering capabilities to bring to market a category defining streaming experience that's characterized by interactivity. This is a long-term commitment we're making in our product and expected to yield strong and defensible competitive advantages over the next few years. Accordingly, we are thrilled to announce the acquisition of Edison AI. Edison is an AI powered computer vision platform with patent pending video recognition technology spaced in Bangalore, India. With Edison AI, we will be able to create new experiences that integrate interactivity and data directly within our live TV feeds, pushing the boundaries of innovation even further. The acquisition also expands our data science and engineering organization globally. Last quarter, we announced the beta release of 2 new interactive features, FanView and free-to-play predictive games. Throughout Q3, we continue to iterate on each and expanded their rollout to additional leagues. We're very excited about the potential to further engage our subscribers and ultimately to become gateways to real money wagering. Here's a quick video. Our wagering business also continues to evolve. We are transforming how consumers watch and engage with live television with our first-generation integrated Fubo Sporstbook, which launched November 3rd in our first state, Iowa. This is the first of a healthy pipeline of other states, where we plan to launch in the ensuing months, which will allow us to unlock the scale of our growing subscriber base, driving down betting acquisition costs. In addition to serving as an important new on-ramp to our platform, we believe this will over time improve engagement and retention while driving monetization and advertising sales. We believe only Fubo TV has brought to market this seamless connection between streaming video and our mobile betting app. We see ourselves in the very early innings of an enormous opportunity to innovate. While we are very pleased with our progress to-date, we are taking a very measured and deliberate approach as we operationalize this initiative.  So in summary, I am exceptionally proud of our execution this quarter. We are building a category-defining streaming experience that will achieve a strong flywheel, driving subscriber growth, increasing engagement, and enhancing monetization, while also attracting advertising dollars to our high quality premium -paying audience. All while we continue to benefit from our optimal position at the intersection of 3 mega trends, the secular decline of traditional television, the shift of TV ad dollars to connected devices, and the rapid adoption of online sports wagering. I look forward to updating you on the progress and will be on Twitter later this evening to interact with shareholders. And now, I'll pass it over to Simone to discuss our Q3 financial highlights and raised guidance for 2021. Simone, please.
Simone Nardi : Thank you, David and good afternoon, everyone. I'm very pleased with our strong third quarter results as we exceeded our outlook and made significant progresses in delivering efficient top-line growth and margin improvements. In the third quarter, we delivered a triple digits year-over-year growth in both subscription and advertising revenue taking overall revenue up 156% to $156.7 million, up 20% sequentially over the second quarter. Subscription revenue increased 158% year-over-year, to $138.1 million driven by strong growth in subscribers numbers and ARPU. We ended the quarter with 945,000 subscribers, an increase of 108% or 263,000 net additions when compared to Q3 2020. We delivered these robust growth through acquisition efficiencies, as well as improvements in retention resulting from our interactive product and curated content offering. Subscription ARPU expanded by 10% year-over-year to $66.31 as we saw more subscribers taking our premium offerings. Advertising ARPU grew 10% year-over-year to $8.23. Advertising is a key component of our growth and monetization strategy, and we saw continued strength on this front. Advertising sales were the highest to date in the third quarter of 2021, surging 147% year-over-year to $18.6 million and accounted for 12% of total revenue. The strong results for our advertising business were driven by the strength in our subscriber growth, increasing CPM and fill rate optimization. As expected, we saw a large influx of subscribers within the last few weeks of September. As these new subscribers become more familiar with the platform and mature into long-term subscribers, we expect to expand their monetization further. Switching out to profitability, we made significant traction towards our long-term goals, delivering an adjusted contribution margin of 12.4%. This was up 189 basis points year-over-year when compared to our normalized Q3 2020 ACM of 10.5%, which we report in our earnings last year. As a reminder, our Q3 2020 ACM of 16.1% reflected unusual timing of content deals in July 2020. Our contribution margin expansion in the quarter was driven by the improvement of advertising ARPU and subscription ARPU, as well as by the continued data-driven optimization of our content offering. This positioned us well to continue making deliberate strategic investment in content, technology, and infrastructure to optimize our market position and grow share while driving long-term margin expansion. Accordingly, our strategic investments have resulted in the third quarter in expected expenses increase in absolute dollar basis year-over-year. However, expenses continue to grow significantly less than our revenue growth and accounted for 166% of total revenue in Q3 2021, significantly less than in 2019 and in 2020, underscoring our continued focus on driving operating leverage in the business. Within expenses, I would like to highlight how subscribers related expenses, which primarily consist of content costs, accounted for 91.5% of total revenue in the quarter, an improvement of 8.5% points compared to the prior year period. And our sales and marketing expenses, as a percentage of revenue, declined from 36% in the third quarter of 2020 to 32% this quarter, showcasing our efficiency in growing our subscriber base. As a result of this continued operating leverage, we achieved material year-over-year improvement in adjusted EBITDA margin from -77.6% to -51.9%. Net loss in Q3 was $105.9 million and included approximately $21 million on non-cash expenses in stock-based compensation, re-measurement of warrant liabilities, amortization of intangibles, and their discount. EPS in the quarter was -$0.74 compared to a loss of $6.20 in the third quarter of 2020. Adjusted EPS in the third quarter 2021 was a loss of $0.59, excluding the non-cash impact of stock-based compensation, their management award and liabilities, and amortization of intangibles and their discount. Expenses incurred for the launch of our wagering business impacted EPS and adjusted EPS by $0.05 in the quarter. Now, turning to the balance sheet, we ended the quarter with $398.5 million in cash, cash equivalent, and restricted cash. These include a $70 million net proceeds in the quarter from our at-the-market offering, offering, as well as $7 million in interest payment and $33.7 million of cash outflow related to wagering, mainly in connection with our market access licensing deals. As was previously highlighted, defining of the -- our $500 million ATM in August is part of our ongoing capital optimization strategy to build optionality to fund growth initiatives while further strengthening our balance sheet. Operating cash flow in the quarter was negative $55.7 million, inclusive of $5 million of non-recurring payments, $5.2 million associated with a wagering business and $7 million of interest payment for the 2026 convertible notes. Moving onto our outlook. With the strong performance in the third quarter of 2021, we believe we are well-positioned to continue to execute on our long-term revenues and margin goals. And why, therefore, once again, increasing our full-year 2021 revenue guidance to $614.5 million at the midpoint. It's a better number, represent a 135% increase year-over-year, up from an increase of 116% reflecting our prior guidance. Similarly, we are increasing our end of the year subscriber guidance to 1,065,000, at the midpoint of the guidance, up 94% year-over-year. This guidance implies full-year 2021 net additions of approximately 517,000, 517,000, 123% higher than our full-year 2020 net additions of 232,000. Our current guidance does not include any revenue contribution from our sport wagering business, nor from our recently announced Molotov and Edison AI acquisitions. In closing, we're very pleased with our performance this quarter, and we continue to efficiently drive robust growth and operating leverage. Thank you for joining our call today. We will now take your questions. Alison.
A - Alison Sternberg : Thank you, David. Thank you, Simone. We're now turning to the Q&A portion of our call. We ask that in the spirit of timing that you limit yourself to 2 questions please. And our first question comes from Jed Kelly with Oppenheimer. Jed, great to see you. Please go ahead.
Jed Kelly : Great. Thanks for taking my questions. Just 2 if I may. 1. Behind the acquisition, the strategy to expand internationally versus if you look at the U.S. it still have a lot of opportunity for growth. Still a couple channels with a lot of sports content that you don't have on your platform. So can you talk about the acquisition strategy. And then on the Sportsbook, Iowa. Any early learning's you can share or what they tax rate their subscribers? Thank you.
David Gandler : Thank you, Jed. As always, excellent questions. As it relates to the acquisition strategy, I think we've said many times we were going to be opportunistic, and I think there's 2 different acquisitions here. One is technology-based, I'll talk about Edison AI first. We're really excited about this Company. It actually provides foundational back-end tech for our Company. If you think about it, you'll be able to extract metadata from the video in real time. So a lot of these things that you and I discussed offline about, how do you see this business changing over time? You can think about the number of use cases with technology like this. So, A, you will be able to, in the very short-term, sync the video to the data stream. That's very important. And you can do that by capturing clock data. There's other use cases for this over the long term that will touch on the video experience at the core, things like improving EPGs, DVRs as it relates to overtime. Obviously, there's going to be advertising opportunities as well because you'll be able to extract a lot of the contextual value out of the frame that is currently being displayed. So with that type of technology, we think we're really well-positioned to continue to focus on our integration strategy. As it relates to Molotov, I think there are 2 very important reasons why we did this deal. One is, as you know, there's some significant headwinds here in the U.S. with respect to the labor situation. It's very difficult to hire engineers. Molotov has a very, very strong team of 100 plus, which if you think about it, our businesses are very similar in many respects, and so there's an alignment of technology and infrastructure, tooling, and also obviously the operational model. We think that we could pretty much integrate relatively quickly, that is our goal in the short-term, and that should really improve development velocity. So that's the first point on that. It allows us to also plant a flag in another country to allow us to access even more talent and so that's probably one of the more important reasons. The second is, it's the number 2 streaming application in France, which is the second largest European market with over 60 million households. So with 4 million monthly active users, we thought that this was a great opportunity for us to learn about their business model. Remember, we do not have a freemium model. And just to highlight again what that is. It's a freemium model really means that you have a free tier of content, which in their case is live TV channels that they then use to upsell to a paid tier. Now when we think about our capabilities here in the U.S. and the knowledge that we continue to really garner, this is going to give us an opportunity to really leverage what we know in that market as we develop a scalable global platform. So this doesn't in any way impact our focus on the U.S. And I hope given that 1 million subscriber number, that makes you comfortable that we're completely focused on driving additional subscribers in the U.S. and really scaling out our business. And the second part of your question, if I recall, was about the book, as you know, we launched --
Jed Kelly : [Indiscernible] in Iowa.
David Gandler : Yeah, we launched November 3rd. Look, we're very excited. We did what we said we were going to do. And this was not an easy task, it was not an easy lift to launch a sportsbook in less than 12 months. And we've been working with regulators and we shared with you our live sync feature. So far, it's very early, I mean, we've been live for a week. We'll have to take our time over the next couple of weeks to really better understand what we're seeing, but so far I think what's interesting is that there is interest from our subscribers to play. That's a very important piece here if think about the reason why we did this. The whole point of this was really to reduce the cost of entry. number 1, and number 2 is to create very attractive user economics. We think that what we've seen in these early moments is really important. What I will say is that the market access licenses are probably an area where we're going to focus on throughout 2022, because given what we've seen, at least in the first few days, we want to take advantage of our growing subscriber base. So when you have a million people that you can talk to every day and you've seen how successful we've been with our attachments, selling over 2.2 million attachments this year, we're very comfortable in our ability to actually create a new revenue stream and upsell existing customers.
Alison Sternberg : Great.
Jed Kelly : Thank you.
David Gandler : Thank you.
Alison Sternberg : Jed, thank you for your thoughtful questions. Our next question comes from Shweta Khajuria, who is with Evercore. Shweta, always good to see you. Please go ahead.
Shweta Khajuria : Thanks, Alison. Let me try 2, please. David, what would be your top 3 investment areas for next year in terms of resources as well as the focus of your team? And then a quick follow-up on churn. In the shareholder letter, you said churn improved on the year-over-year basis. How did it trend sequentially? Thank you.
David Gandler : Yeah. Very good question, Shweta. I'd love to tell you about our go-forward strategy, but obviously if we tell you, then we're going to make it very difficult to be able to acquire assets the way we've done this year, which we're very happy about. So I think what I'll continue to say is we're going to be opportunistic. We're looking for companies that fit culturally, number 1, because this is a performance-driven Company. We continue to execute quarter-over-quarter and year-over-year. But again, it's something we'll continue to look at and refine over the course of 2022. With respect to churn, as you said 78 -- minus 78 basis points of churn, we're very happy with that. We said that our goal this year was to get churn in a place where we're very comfortable. I would say churn is relatively flat, quarter sequentially, but remember we also had the Olympics in July, which typically, a lot of these one-off events drive significant churn, but we have been able to really mitigate a lot of the churn that we felt was -- would put us at risk for the third quarter. As you could see, it really drove up our subscriber numbers, so we're very happy about that. We're also happy about our reactivation numbers that have been extremely strong, and all of that is really related to the content offering that we provide to our subscribers, as well as the product improvements that we're seeing. So we're very happy with this quarter and looking forward to Q4.
Shweta Khajuria : Okay. Thanks, David.
David Gandler : Thank you.
Alison Sternberg : Thank you, Shweta. Always good to see you and thank you for the questions. Our next question comes from Laura Martin with Needham.
Laura Martin : Hey there, David. Fourth quarter as a public Company, fourth quarter beating rates. So these are excellent numbers again.
David Gandler : Thank you.
Laura Martin : That's why you're here. You're doing your job.
David Gandler : That's why we're here. Thank you so much.
Laura Martin : Okay. Two questions for you. One is the NFL ratings are astronomical this year, and that seems to be a key catalyst to driving your extraordinary subscriber growth. My question is, post Super Bowl Sunday, what are you going to do to try to hold onto these guys to increase their longevity past the end of NFL season? Let's start with that one.
David Gandler : I think that's a great call. NFL season has been tremendous for us. But let's not forget, we also had a full season of college football. We're super excited about the return of college sports. That has certainly had an impact, particularly in September. Look, we're focused on continuing to improve our product. We're looking for ways to improve certain features that will drive engagement. I think this cohort -- the September cohort is actually quite interesting. We actually got to 96% viewership of sports on the platform. This is by far the largest number or greatest percentage of sports viewership on the platform ever. I think that the last record was about 93% or 94%. So when you think there is no more room, there certainly is. Again, we're focused on continuing to do what we did in first quarter of 2021. We'll focus on continuing to upgrade our product. And hopefully, as we get into the first quarter, we'll be able to talk more about our free-to-play capabilities as well as our predictive games. And what we believe to be the Sportsbook entry point into some of these states will also improve retention.
Laura Martin : Okay. That's super helpful. When I think about CTV, you had really good -- the highest CTV revenue growth of any Company that's reported, which is actually saying something. And I love what it's doing to your gross margins. You really have strong gross margin over delivery. Is most of that coming from advertising, David, or is some of it actually coming from subscription -- that's a variable cost business subscription? So I'm just trying to figure out if you're really getting leverage on the variable cost pieces of business in a different -- in addition to advertising.
David Gandler : Well, we did mention in our shareholder letter as well as in my opening comments that, given the scale that we're experiencing today, we are going to start to continue to see some level of escape velocity. When you start to experience that, you typically have some control in terms of the conversations we're having with our content partners. As you know, we've continued to update our content portfolio. We made some changes at the end of the second quarter, which we believe positively impacted our margin profile as it relates to the variable cost. On the advertising front, we're continuing to see a lot of strength in that area. You see advertisers not only moving from TV, but they're moving into data-driven Ad buys, and that's an area where we are starting to really make an impact. And I also think that what's compelling is the fact that we have 3 levers that we can pull. And when you look at our CPM year-over-year, it's still relatively low, which was up about 4% from about 21% and change to 23%. So if you think about this -- what we have here, this is a high-class problem, what I like to say. There's room, about 50% growth in the CPM, assuming all else stays equal. So you can really start to understand the opportunities we have in the advertising space and what it can really do to drive margins over the long term.
Laura Martin : Thanks, David.
David Gandler: Thank you. Be safe.
Alison Sternberg : Thank you, Laura. As always, great questions. Our next question comes from Dan Salmon at BMO. Dan, please go ahead.
Daniel Salmon: All right. Thank you Alison. Good evening everyone
David Gandler : Hey Dan.
Daniel Salmon: Hey David, it's Salmon. So David multiple as you said leading platform in France. They've also got a little footprint in Africa and have a standing there, you've got the Canadian business and Spanish business. So what is the scope of your international ambitions right now? You seem to have a healthy part of North America and EMEA covered, I mean, should we expect APAC and South America to come next? And then just the second one, if there's some wording in the shareholder letter about crossing the 1 million mark that gives you some better most favored nation protection. Can you just speak to that a little bit more specifically and if there's some milestones in your contracts that passing that activates in particular?
David Gandler : Yeah. Dan, it's good to see you. It's been a while. Look, your first question is about our international ambitions. This Company has 1 massive ambition. We are looking for global domination. We're doing that, we're demonstrating quarter-in, quarter-out that we're able to do this in the United States. Just to quickly touch on our net adds, 263,000 net adds. If you look at the traditional pay TV churn level, it was roughly around 1.2 to 1.3. We took in about 20% of the traditional churn into net subscribers in the third quarter. So when I think about that and I think about where I believe the market will trend to over the next 5 or 7 years, it gets me really excited. Our team is performing exceptionally well in the United States. And so what we've decided to do is to take our time internationally, pick assets that we believe might provide significant value. Again, the cultural importance is something that I really have to stress because we are performance Company. So I'm not saying that we're going into Latin America or any other region. But if we see an asset that we believe will create a lot of value for the business, there's no reason why we shouldn't leverage our market cap to be able to acquire an asset. But I also wouldn't overlook the Edisn AI transaction because it is transformational. I don't think people really understand how transformational computer vision really is. You can track players, you can track frame accurate data, extract metadata from live real-time video, and really leverage that across advertising, across product sales, across everything that we do. So to me, this is an extremely important acquisition and it sets us up really nicely for our global product. Last but not the least on your question around -- you mentioned Molotov in Africa and all these other questions. One of the reasons why we really liked Molotov, in addition to obviously the 4 million monthly active users and the 100-plus team that they have to be able to really increase the velocity of our development team. But they're also available in these other countries. But the key is the technology that they've developed that allows them to very efficiently localize in different geographies. So again, if you think about the DNA of Fubo, we're all about opportunities, moving quickly, leveraging data. And this provides the one thing that I value most in the world, which is optionality. Thank you.
Alison Sternberg : Dan, thank you for your thoughtful questions. Our next question comes from Jim Goss with Barrington. Jim, always good to see you. Please proceed with your question.
Jim Goss : Hi David, hi Simone. You're talking about the global ambition. I wonder if you might explain the domestic grows in terms of what sort of [Indiscernible] in expense over the next several years. And who do you think you will take share from? I assume you're taking share from broadcasters. If you think you're also taking share from some of the competitors in your space.
Simone Nardi : Thanks for the question, Jim. I think in terms of the overall growth that we have in the business, as you've seen we had to guide into a very significant number. To David's earlier point, we are taking on a significant portion of people that are coming out of their regular traditional cabl offering. We are taking in the fore significant portion of that and as you can imagine, our market share is expected to continue to grow within the virtual MVPD space as well. I think there is definitely an influx of subscribers coming from the traditional cable ecosystem, as well as subscribers that are appreciating the features that we provide in our platform and allow us to attract them to our platform from existing virtual MVPD space, as reflected by the most likely marketing share increase with individual equities.
Jim Goss : First of all you talk about the usage patterns. I assume most viewing is going to be at home, but are you gaining an increasing number of users using areas remotely outside -- when they're traveling [Indiscernible]?
Simone Nardi : Yes. So we're seeing a lot of viewership on our connected television, that is actually really good for advertising purposes. As well as to your point, we offer the flexibility of an app that is downloadable and usable on many different platforms and items. So it's actually allowing us to provide the flexibility for people across the board that is a benefit that we think is resonating well with subscribers.
Jim Goss : Okay. I might just also ask. Could you flesh out the concept of the games, the non-betting type games. What exactly do you think you were going to bring to the table and who would you -- how would you sustain engagement through that area?
Simone Nardi : Sorry, Jim, again.
David Gandler : Yeah. Jim, could you ask that question again? Hi. It's David. Sorry, I couldn't hear the first.
Jim Goss : Yes. Okay. You were -- you've also talked about some additional types of games that you would engage users in and you'd use that for sustaining engagement. And I'm just wondering what's -- what you had in mind in that area.
David Gandler : Yeah. We've been very focused on free-to-play games. I think we showcased video where you could see, you can get into the user initiated format where you can watch an event and then play these predictive games. So you could ask questions like, Will they score or touchdown? Will they take a field goal? Will they throw a pass? Will there be an interception? Will this player play? So all of these sort of engaging questions during the game we think adds a lot of value and we've seen that. We've been running a bunch of tests on our comparable games and we've seen engagement increase by anywhere between 30% and 40%, so we're going to continue to work on that and create a platform in which we think users will engage more. And if they are engaging more, as you know, that impacts your advertising sales and also your attention. So the more that we can get people to stay on the platform, the better. The other thing I think that is also important, a bit secondary at the moment. But I think we'll come to the forefront pretty quickly in 2022 is the fact that we're now isolating players that were people that like to play these games. So the question is, if you are a casual better, or someone who likes to play these games, will you potentially participate in a bet for events that you typically we can tell what you went out. You pick, feel goals, you picked football games, you picked soccer games. That gives us another edge in trying to reduce that cost of venture and drive subscribers into our betting funnel at almost no cost. So that's the plan with that. And again, this acquisition of Edisn AI is important because it allows us to sync a lot of this information, allows us to learn what people are viewing and watching and then on a discrete basis, we'll be able to provide hundred of games, thousands of games. All of this is something we've been talking about for a year. What's interesting is, Netflix is doing the same thing. They're launching their gaming platform to engage with consumers, to extend their brand value of shows like Squid Game and Stranger Things. These are all things that we felt we've been pretty much first, but we're starting to see other companies develop a platforms in similar ways, so we're super excited about that.
Jim Goss : Thanks very much.
David Gandler : Thank you.
Simone Nardi : Thank you, Jim.
Alison Sternberg : Jim, thank you so much. Our next question comes from Zach Silverberg with Berenberg. Zach, good to see you. Please proceed with your question.
Zachary Silverberg: Hey. Good evening. Thanks for taking my question. My first one is on your partnerships with NASCAR, the Jets, the Cleveland Cavaliers. What do these partnerships mean for the growth of the Sportsbook, customer acquisition, market entry, and what sort of partnerships do we see on the horizon?
David Gandler : Good question, Zach. Look, we're getting into the space, we're getting our feet wet right now. We want to make sure we have certain partnerships to be able to leverage IP with some of these major partners. As you know, we've now exceeded a million subscribers. We want to build on that brand equity and we're looking for those right relationships. And as we continue to develop our gaming strategy, we'll look to expand our partnerships. Right now we're pretty happy with the partnerships we have in place.
Zachary Silverberg: Got it. And then on the ad revenue side of the business, can you just talk about what's driving some of the stronger ad growth year-over-year?
David Gandler : Yeah. Again, it's a -- it really comes down to basic elements of advertising. As I just mentioned, there are really 3 components that drive advertising sales for the Company right now. 1. Is the fill rate, 2. Is the CPM, and 3. Is the viewership hour. So those are the 3 levers that you can pull to drive. Now, the good news is we don't have to drive all 3 of them every quarter. We can drive, sometimes it's 3, sometimes it's 2, sometimes it's 1. And so this quarter, what we've seen it's a combination of a few elements, 1. Is the increase in CPM that we're seeing from somewhere around the 21 to 23 range, which really again keeps me excited because there's a long way to go to hitting the CPM that we're typically seeing on connected devices, which is 30 plus. So that just should indicate to you that there's strong growth. The other one is the viewership hours, I'll leave for last and then there's the fill rate. And the fill rate, again, we have opportunities. We've been testing 15 second units versus 30s, and advertisers seem to really like those. So we're going to continue to focus on CPM and fill rate for now, but the good news is we've got a long way to go. Viewership hours continue to increase. Obviously, there was an influx of subscribers at the end of the third quarter, which took the number down somewhat. But on a year-over-year basis, we feel very comfortable we'll continue to drive engagement. So advertising, certainly a very exciting space for us and we'll be investing into our ad-tech to be able to drive those numbers higher.
Zachary Silverberg: Thank you.
Alison Sternberg : Zach, thank you for your questions. Our final question is with Dillon Heslin with ROTH. Dillon please proceed with your question.
David Gandler : Hi, Dillon. Sorry, I can't -- we can't hear you. Cut out. Oh, you're muted Dillon.
Alison Sternberg : Dillon, you're muted.
David Gandler : Don't worry about it, happens to me all the time.
Alison Sternberg : We still can't hear you. You need to unmute yourself, Dillon. Still muted.
Dillon Heslin : Now. Is not better?
Alison Sternberg : Yes.
David Gandler : Now we can hear you.
Alison Sternberg : Perfect. Thank you. We can hear you now. Go ahead.
Dillon Heslin : My apologies.
Alison Sternberg : No worries. It happens to all of us. Thank you.
Dillon Heslin : Thank you for taking my question. Congrats on the million subs. First, on some of the attach rates. You talked about the 2.3 million in attach rate this quarter. Can you talk a little bit about what that mix is between your existing subs who are deciding to up their plan later on versus a new sub who comes on at that higher ARPU off the bat?
David Gandler : Yeah. Well, I think it's clear that it's not just new subscribers coming in, because we saw 2.2 million attachments at the end of the quarter. So that -- what's that telling you is that, for every average subscriber, we're selling in 2.3 products. So it's actually across the board. What we do typically see seasonally, is that in the third and fourth quarter, people subscribe to our Sports plus packaging, which includes the red zone. And so we anticipate -- and we've seen this again, every year is that there is some decline in ARPU after the NFL season due to just people taking down their package, which typically includes red zone.
Dillon Heslin : Got it. And then as a follow-up. On the sales and marketing expense, I know you talked about that being down as a percentage of revenue of about 300 basis points year-over-year, but it's up over double quarter-over-quarter in absolute dollar terms. Obviously, you had the subs to back that up. But where do you start to think you can see that absolute dollar figure plateau?
David Gandler : Well, it's tough to look at it from an absolute dollar value perspective because right now you're talking about a Company that is just 6 years old. If you look back at 2020, the average IPO -- the average age of a Company was about 12. So this Company is in complete growth mode. When I look at revenue or -- I should see sales and marketing as a percentage of revenue, whether it's Roku or DraftKings or anybody else, or Netflix for that matter, it's relatively high. And so roughly around that 30% to 35% range is where we want to be, but at the same time, that number has come down to some degree and we feel comfortable our average subscriber acquisition costs is in the range that we've always guided to since testing the waters, which is between 1 and 1.5 times our first month's ARPU. Now note that as our first month ARPU continues to increase, we obviously can spend more money attracting subscribers. One thing that is important, we have added extremely high quality subscribers over 2021, that is reflected in the continuing improvement in retention. And frankly, our September cohort for this NFL actually outperformed anything we typically would see. So again, we're super excited about where we are in terms of spend and the quality of customers we continue to attract to the platform.
Simone Nardi : And to that, on that deal, I mean ultimately the whole improvement in our operating leverage is driving efficiencies in marketing as well as on all the other expenses. You see also on the content side, with subscriber-related expenses going down 8.5 percentage point comparing to last year of the same quarter. So that is continuously reflected in our improvement in adjusted EBITDA margin, and in general, in our margins.
David Gandler : Dillon, I'll just say one thing. We are at the very early stages of the evolution of this business. It's actually quite remarkable, I just want to give a quick shout out to the team they have done a phenomenal job. Expectations, as you know, are extremely high. The competitive set is very difficult for us to deal with. Our numbers are public everybody is looking at them. So again, I just really want to give a quick shout out to the team, the retention team, the marketing team, the product team, the engineering team, the Fubo Sports network team, the finance team. So all these groups are really working cohesively to be able to drive value across all of our KPIs.
Dillon Heslin : Thank you guys. Appreciate it.
David Gandler : Thank you.
Alison Sternberg : Dillon thank you. And this concludes the Q&A portion of our call. We thank everybody who participated for your time and your thoughtful questions, and we look forward to continuing to update you on the progress of the business in ensuing quarters, and would encourage you to any extent that you have additional questions to reach out. Thank you again and look forward to speaking to everybody soon. Thank you.
David Gandler : Thank you.
Simone Nardi : Thank you.